Operator: Greetings, and welcome to the Doman Building Materials Group Fourth Quarter and Full Year 2025 Financial Results Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. It's now my pleasure to introduce your host, Ali Mahdavi. Please go ahead.
Ali Mahdavi: Thank you, operator. Good morning, everyone, and thank you for joining us this morning for Doman Building Materials Fourth Quarter and Full Year 2025 Financial Results Conference Call. Joining me this morning are Amar Doman, Chairman and Chief Executive Officer; and James Code, Chief Financial Officer. . If you have not seen the news release which was issued yesterday, it is available on the company's website at domanbm.com as well as on SEDAR+, along with our MD&A and financial statements. I would also like to remind you that a replay of this call will be accessible until March 20, 2026. Following management's presentation of the 2025 fourth quarter and full year results, we will conduct a Q&A session for analysts only. Instructions will be provided at that time for you to join the queue for questions. Before we begin, we are required to provide the following statements regarding forward-looking information, which is made on behalf of Doman Building Materials Group Ltd., and all of its representatives on this call. Remarks and answers to your questions today may contain forward-looking information about future events or the company's future performance. This information is subject to risks and uncertainties that may cause actual events or results to differ materially. Any information regarding forward-looking statements is made as of the date of this call, and the company does not undertake to update any forward-looking statements. Please read the forward-looking statements and risk factors in the MD&A as these outline the material factors which could cause or would cause actual results to differ. The company will not provide guidance regarding future earnings during today's call, and management does not anticipate providing guidance in future quarterly or interim communications with investors. I'll now turn the call over to Amar.
Amardeip Doman: Thanks, Ali, and good morning, everybody. Thank you for joining us on today's call. Let me start by highlighting some of our key financial metrics, followed by some color on our operations during the fourth quarter. And then I will hand the call over to Jay Code, who can review the numbers in further detail. 2025 presented itself to certain challenges, which were not dissimilar to the prior year with constant falling lumber pricing and other relevant economic headwinds. While we are not directly impacted by tariffs, the building materials sector in general, continue to navigate the effects of tariffs, fluctuating construction material pricing elevated interest in mortgage rates and even and uneven building activity across various regions. While these conditions created near-term pressure, our teams responded very well managing this. We remain focused on what we can control, operational efficiency, customer service, cost disciplines and safety while positioning the business for long-term success. Despite the pricing movements across all construction materials categories in our portfolio on both sides of the border, we exited 2025 with strong performance across all our key financial metrics, including revenues, gross margin, EBITDA and net income, while paying our shareholders a quarterly dividend of $0.14 per common share or $0.56 per common share on an annual basis. We are both pleased and proud of the company's performance throughout 2025, given the market conditions we had to work through. Despite trends and volatility that at times presented us with challenges, we remain encouraged and pleased with the resilience of our diversified business model withstanding these cycles resulting in Canadian revenues, gross margin, adjusted EBITDA and net earnings totaling $3.1 billion, $505 million, $256 million and $80 million, respectively. Our ability to deliver consistent performance across a variety of market cycles, results from our tireless focus on operations and to the many successful acquisitions we've completed throughout the years. Now focusing on the most recent fourth quarter results, adjusting for normal seasonality, we remain active across all business divisions, our ongoing cost management and focus on operational efficiencies enabled the company to demonstrate revenue performance, while gross margin continued to be within our target range as well as EBITDA and bottom line. We are very proud of our financial performance and believe there is a lot to be gained from the strength and momentum, which has resulted from our successes in recent years. As a result of these efforts during the fourth quarter, we saw revenues coming in at $644 million, gross margin at 16.6% or $107.2 million, EBITDA amounting to $44.3 million, net earnings of $11 million; and lastly, our quarterly dividend of $0.14 per share was again declared. We remain cautiously optimistic about the prospects ahead and look forward to further demonstrating the strength and leverage available in our business model as we continue to be well positioned to take advantage of sensible growth opportunities. On the heels of successfully integrating recent acquisitions, our relentless focus on paying down debt and strengthening our balance sheet remains a priority, which will enable us to be in a strong position to take advantage of strategic opportunities. Overall, 2026 is off to a decent start, despite severe weather issues in some of our regions, which we're prepared to deal with. I continue to be pleased with how our growth strategy continues to unfold, resulting in strong sales and earnings in the face of a tough year-over-year pricing environment while remaining focused on margin protection during these times. In 2025, we were also able to demonstrate the positive impact of prior year acquisitions for the full fiscal year. We are very proud of our acquisition of Doman Tucker Lumber and prior to that Southeast forest products. As you probably are aware, Jay Code, our CFO, of 15 years, will be retiring on April 7. So before handing the call off to Jay, one last time to provide a review of the company's full financial results on behalf of the entire Doman family, I would like to extend our sincere thanks for your years of dedicated service at Doman. Your commitment, professionalism and contributions have made a lasting impact on our team and organization. I'm truly grateful for all you have done and wish you continued success in your well-deserved retirement. Over to you, Jay.
James Code: Thank you very much for those kind words, Amar, and good morning, everyone. Sales for the year ended December 31, 2025, were $3.12 billion versus $2.66 billion in '24, representing an increase of $456 million or 17.1%, largely due to the positive impact of the company's acquisitions completed in 2024. The company's sales in the year were made up of 81% construction materials compared to 76% last year, with the remaining balance of sales resulting from specialty and allied products of 16% and other sources of 3%. Doman's gross margin was $505.5 million versus $424.8 million in '24, an increase of $80.7 million, benefiting from the contributions of our '24 acquisitions as well as ongoing execution of our margin enhancement strategies. Gross margin percentage was 16.2% this year compared to 16% achieved in the previous year. Expenses for '25 were $349.1 million compared to $306.5 million last year, an increase of $42.6 million or 13.9%. As a percentage of sales, 2025 expenses were 11.2% compared to 11.5% in '24. Distribution, selling and administration expenses increased by $19.9 million or 8.7% to $249.1 million in 2025 versus $229.2 million in 2024, mainly related to activities of the acquired companies as well as broad inflationary pressures. As a percentage of sales, DS&A was 8% this year compared to 8.6% in the prior year. Depreciation and amortization expenses increased by $22.8 million or 29.5% from $77.2 million to $100 million, mainly due to additional property, plant and equipment and intangible assets related to the '24 acquisitions. Finance costs for 2025 were $72.9 million compared to $53.7 million in 2024, an increase of $19.1 million largely as a result of additional costs related to the financing of the Doman Tucker Lumber acquisition on October 1, 2024. We note directly attributable acquisition costs during the comparative prior year were $3.3 million and these costs included due diligence, legal, environmental, financial, management resources and other advisory services directly attributable to the acquisition activities. EBITDA in 2025 was $256.4 million compared to $192.2 million in 2024, an increase of $64.2 million or 33.4%. Adjusted EBITDA in the comparative prior year before the nonrecurring acquisition costs was $195.5 million. Our EBITDA in 2025 benefited from the full year inclusion of the results from the 2024 acquisitions, but these benefits were partially offset by the previously discussed overall weaker pricing in certain construction materials categories as well as an increase in expenses due to inflationary pressures. Net earnings for 2025 were $80.3 million compared to $54.2 million in 2024, an increase of $26.1 million. And turning Now to the statement of cash flows, operating activities before noncash working capital generated $163.6 million in cash compared to $148.7 million in 2024. Stronger operating cash flows in 2025 were largely driven by this year's significant increase in net earnings. Financing activities in 2025 consumed $235.7 million of cash related to repayments of debt and payments to equity stakeholders. And during the comparative prior year, the company utilized debt facilities to finance the Doman Tucker Lumber acquisition, resulting in $345.5 million of cash provided by overall net financing activities. The company returned $49 million to shareholders through dividends paid in 2025, largely in line with 2024, and the shares issued net of transaction costs generated an additional $1.8 million of cash compared to $1.5 million in the prior year. Payment of lease liabilities, including interest, consumed $32.3 million of cash compared to $29.1 million in 2024. And we note the company's lease obligations generally require monthly installments, and these payments are entirely current. We also note the company was not in breach of its lending covenants during the year ended December 31, 2025. overall, investing activities this year generated $45.6 million of cash compared to consuming $474.3 million in 2024. Investing activities this year included the sale of the company's timber loans for total cash proceeds of $75.2 million, whereas investing activities in 2024 included the Southeast Forest Products and Doman Tucker acquisitions for total cash consideration of $460.8 million. Additionally, the company invested $29 million in new property plant and equipment during the year compared to $14.2 million of property plant and equipment expenditures in 2024. This concludes our formal commentary, and we'd now be happy to respond to any questions that you may have. Thank you.
Operator: [Operator Instructions] And our first question comes from the line of Kasia Kopytek with TD Cowen.
Kasia Trzaski Kopytek: Its Kasia on the line. First question is on your margin enhancement strategies. You posted really strong margins in Q4. Can you give us an update on the sorts of things you're working on to keep margins high and just articulate your general confidence in your ability to keep margins towards the high end of your historical range going forward?
Amardeip Doman: Sure, Kasia. Without us telling all our trade secrets, certainly, our lumber buyers have done a hell of a job on both sides of the border, positioning well when there was dips buying under the market and positioning ourselves ahead of time for market gyrations and really buying in those gross margin dollars. So that was evidenced in Q4, and Q1 year has started off in the same fashion. So I've got to give the credit to the lumber buyers really working through rough waters here, but really digging deep and making things make sense for us. So that's really where it's coming from.
James Code: I'd add there, Kasia, that freight optimization strategies had also a significant role in the margin enhancements. In 2025, we began to use new technology for the business. And that's starting to show in the freight cost. The freight cost being a significant part of our cost of goods. .
Kasia Trzaski Kopytek: Right. You've talked about this great strategy in the past. Are we in the early innings of that? Is there still a lot of runway left for optimizing those kind of costs?
James Code: Yes. I'd say early. We're in the early innings. We have rolled it out in only 2 of our divisions. And so we've got a ways to go to take full benefit from that.
Kasia Trzaski Kopytek: Okay. And this is probably a question for you as well. The selling, distribution and administrative expense, can you comment on the kind of inflation that you're seeing in these expense categories? And maybe reference what a normalized range could look like for you guys going forward?
James Code: Yes. It's -- I'd say, broadly in line with the consumer price index. We're talking about a significant portion of that being compensation costs and then facility costs, we're releasing facilities, leasing material handling equipment, that kind of thing. So we'd be in that 3% range in '25, I would estimate, overall. .
Kasia Trzaski Kopytek: Okay. And then $61 million to $63 million quarterly that sort of a range that we're looking at and the inflation on top of that. Is that fair?
James Code: Yes. Yes. Q4 being, as Amar pointed out, normally a seasonal slower period for us. So we would expect to ramp up costs a little bit in the busier quarters.
Kasia Trzaski Kopytek: Right. And on CapEx, there was a bit of a ramp to end the year. Any special projects worth calling out. If I recall correctly, you guys are pretty excited about things in the pipeline for your specialty lumber.
Amardeip Doman: Exactly, yes. That -- there's a bunch of noise inside that number. So we can attribute it pretty much all to either upgrading or investing in new fencing equipment for our sawmills, including into the Carolinas a new market for us. So some of that production will start to evidence later this year. We've upgraded our sawmill in Gilmer. We were there this week, and it's running. We're getting close to getting it to the point of -- we're happy with the volumes. The bugs are getting out of that. So those investments are -- and I commented earlier in my comments, the fencing market continues to be strong for us. And certainly, with some tariffs being on South American countries or a lot of U.S. spend comes in. There's a shortage right now. So we're trying to amp up pretty quickly and modernize upgrade and get more efficient.
Kasia Trzaski Kopytek: Okay. So the level we saw in Q4, is that a new run rate going forward? Or should we see levels go back to what you did in the first 3 quarters of the year?
Amardeip Doman: Yes, that would be kind of a high water.
James Code: Yes, we still expect cash to be under 1% of revenue for PP&E expenditures. So Q4 was a little bit high, just based on lumpiness of where we spend -- timing of spending. .
Operator: The next question comes from the line of Nikolai Goroupitch with the IBC Capital Markets.
Nikolai Goroupitch: With both Lowe's and Home Depot forecasting a relatively flat R&R market this year. Do you share a similar order outlook? And do you -- how do you see the treated lumber market performing in comparison?
Amardeip Doman: Yes. I think everyone is just trying to forecast in a very, very murky world. It's hard to make predictions here. So I think everyone is cautious the repair and renovation market, yes, I think it's going to be flat. We had a decent takeaway year last year despite that. I think we'll have the same this year. . I think it's just kind of what you see is what you get out there and I think Lowe's and Depot certainly have the same forecast, just kind of flat to off a bit, maybe up a bit really hard to read, frankly. And as far as our pressure treated category, we're very pleased with our initial bookings and volumes heading into '26. The first 2 months are booked and we're pleased with what we see. So not superly excited, for sure, it's just the way the world is. But certainly, we're going to be hitting good base hits this year, and we should be just fine.
Nikolai Goroupitch: Okay. And with lumber prices climbing over the past few months in the U.S. South and producers earning a decent margin in the region, do you think mills will add hours and in turns bring more SYP production online in this market?
Amardeip Doman: Yes. Some have and some haven't. The increase wasn't dramatic. And of course, it was through very, very slow months, a little bit in December and then into January and then the cold, the deep freeze really came in and stalled everything and it's kind of flatlined. So don't really see the mills ramping up, and I'm hoping they kind of don't so we can kind of keep the sustainability of a bit of a higher pricing for everybody involved would be, I think, decent for the industry.
Operator: The next question comes from the line of Zachary Evershed with National Bank Financial.
Zachary Evershed: Could you give us a little bit more commentary on how volumes trended throughout the quarter? I know that the cold months can be slow, but maybe a bit of an idea of how things were paced in November, December into January and February?
Amardeip Doman: Yes. I wouldn't say it was abnormal. It was just a normal fourth quarter. I think some of the research analysts had different views on pricing or volumes and there was quite a range. And for us, it was just a routine fourth quarter. Pricing started to pick up in kind of the first week of December, but it's December. So it's a bit of a so what. We did some good buying to help protect the margins. And I think -- 2 key things for the fourth quarter. I think one, our debt reduction; and number two, our margin stability was great. So the pulse of the business is just fine as it's the balance sheet.
Zachary Evershed: And speaking of that balance sheet, maybe you could tell us about what's in your crosshairs for M&A at the moment?
Amardeip Doman: Yes. We're still looking to fill in some of those white spaces, if you will, on the map, where we're not directly located yet, and we'll continue to work through those opportunities. But we will be in those markets, just a matter of the right opportunity coming up and the balance sheet is ready. So stay tuned, and we'll continue on with our strategy. .
Zachary Evershed: And then just one last one, pretty speculative here. Obviously, we've got a very volatile tariff framework, some global geopolitical instability. The R&R side of things seems to be pretty cautious. What's your view on new residential housing in North America this year?
Amardeip Doman: Yes. I think the worst is behind us, I think. I think the interest rates will continue to go down. Obviously, nobody likes what's happening with oil today. But I think that if these rates continue to tick down in the United States like they are, we're under 6% now. We're starting to see some action. So that's good. . I don't expect some boom, but I think there will be more action as people can move around and get out of some of those cheaper mortgages they did during COVID now as the gap is getting closed. So for what it's worth, our view is the worst is behind us. But not crazily excited about things running up hard, but I don't think they get worse from here.
Operator: The next question comes from the line of Ian Gillies with Stifel.
Ian Gillies: Amar, are you able to talk a little bit about where you're at with adding value-added services into your various facilities? I mean whether it be as a percentage of revenue? Or what inning you think you may be in and where you'd like to get to?
Amardeip Doman: Yes. The value added is our primary business. We'll continue to grow in areas such as fencing, manufacturing, 1 inch. We've got some good strategies inside the company to organically grow with our customer base that are national in the United States, and of course, across Canada. So we're working on all kinds of things inside with our specialty sawmills. Obviously, they're smaller, but they're very effective into our marketplace with niche products. So I won't dive into all that into the weeds today. But some of those investments in dollars that we talked about earlier on the call are directly going into our specialty value-added side of the business, and we're going to continue to amp that up we mentioned when we bought Tucker back in '24. Some of those strategies want to cross-pollinate over to Doman Lumber side and then vice versa, getting and defensing on the East Coast of the United States in a big way starting mid this year. We're going to be producing a lot of fence boards out there and the market is ready for it. So stay tuned, we're right on track.
Ian Gillies: Okay. There's been a number of government programs either announced or bandied about on both sides of the border. Are there any in particular that you would point to that you're particularly excited about that you think could benefit Doman moving forward or perhaps demand drivers that are well understood.
Amardeip Doman: Yes. I think you've heard me say it before, the government getting involved in housing has never worked. I don't think it works this time either. I think it's more of a press release than anything. I think the market has to figure things out, developers, cost of land, cost of materials, mortgage. I just don't see the government coming in. If they do great, we can do some supplying to them. Probably the modular guys that do well, who we supply across Canada. And then, of course, in the United States, the government won't get involved in building housing, building that market to figure it out.
Operator: The next question comes from the line of Frederic Tremblay with Desjardins Capital Markets.
Frederic Tremblay: Starting with maybe the sensing side. Obviously, a big component there this year. I was wondering if you can help us better understand the capacity increase in fencing, given all the investments that you're putting together now? And maybe just a clarification on when you expect the revenue contribution from those initiatives to come through in the financials.
Amardeip Doman: Sure. Yes. I don't have percentages ready for you today, but probably in the second or third quarter, we'll have a clearer picture of exactly how the modifications are going at the sawmills and our new venture in the Carolinas to start up there as well sometime in Q2, the start of Q3. We also did not have storms last year. This year, they're forecasting a heavier hurricane season or at least a hurricane season. And when that happens, that drives a lot of quick demand for our fencing products. So we expect to have a busier volume year. And apologies, Frederic, I don't have percentages. But I just know that we're going to get more efficient, doing it with less labor, more automation and the volumes are going to pick up. And our goal is to be probably the #1 fence producer in the United States over the next 2 years, and I think we're going to get there.
Frederic Tremblay: That's very helpful. And would you say sensing products in general are margin accretive compared to the individual margin of the company?
Amardeip Doman: They are. As we manufacture everything inside right from the log, right to the finished pressure-treated pick it on the truck right to the retailer. We capture those margins all along the way with the manufacturing in there. And it's not something that moves around like random lengths pricing. So we try to do our best to maintain the margin to -- there's obviously a higher cost to it being a manufactured item than distribution. So to protect those margins, and by investing in the plant and the equipment in the sawmills, we're certainly getting more efficient in driving those costs down. .
Frederic Tremblay: Great. And then last question for me. Just coming back on the M&A topic. Maybe from the valuation angle, are you seeing any sort of changes in seller's expectations given the state of the market now? Are you noticing any valuation changes on there?
James Code: Yes. Valuation perspectives on M&A, Frederic, I think, is what your question is. And we're not seeing any dramatic changes in expectations from sellers at this point. And we're remaining disciplined in what we will be willing to pay certainly. It has to be within our multiple range, and we're not going outside that range ever. .
Operator: The next question will come again from the line of Kasia Kopytek with TD Cowen.
Kasia Trzaski Kopytek: The sensing products, Amar. I know you said you don't have a percentage for go-forward contribution handy, but can you give us a sense of fencing, what percentage fencing encompasses of your current product mix? Is it less than 5%? So what's the number?
Amardeip Doman: It's between 5% and 10% and rapidly growing. We're pretty much sold out everything that we made currently which is a great place to be. We've never been in that position. A lot of it is to do with the tariffs again out of South America. Material is just stalled coming out of there, and it was so big going into Houston and Florida than being redistributed around. And it's basically crickets. And the demand has turned on strong. So number one, we're looking after all of our current customers and then taking on some new business from customers that really need that we're close to and then we're trying to turn on our production as fast as possible. These things don't happen overnight. But it's a key part of our business, Kasia, that we're going to grow in. And frankly, we're very excited about the domestic production made in the U.S.A., et cetera, and carrying on with that mantra, and not importing these materials. And frankly, we did import some ourselves as well. That game is pretty much over and we'll be making our own.
Kasia Trzaski Kopytek: Okay. And then ending on M&A, the Temecula acquisition, is that a precursor to a possible pivot in your M&A strategy going forward towards more of these types of products? What I mean here is away from commodity wood products?
Amardeip Doman: Yes. Our Electrical division is small. Obviously, Hawaii is the big piece. California, with Temecula just acquired a small outfit, but certainly a key for us. We'll see where that leads. Our leader there will bring us M&A opportunities as he sees fit. And also organically grow with certain customers in that field in Hawaii works because of our [indiscernible] lumber division, there's some nice synergies we have with warehousing, et cetera, with products. And it's not our #1 growth category, it's a very, very key business unit for us or we would not have invested in California. So kind of a stay tuned, cash. I don't think it's an exciting story at this point. But it's very key piece of what we're doing. And nice to have a little diversification there on some product lines. It's a well-run division, good leadership.
Operator: Thank you. There are no further questions at this time. And I'd like to turn the call back over to Ali Mahdavi for closing remarks.
Ali Mahdavi: Thank you, operator, and thank you, everyone, for joining us again this morning. This concludes today's call. We look forward to speaking to you again during our first quarter 2026 financial results call. I'll hand it over back to the operator, and I wish you all have a great weekend. .
Operator: Thank you. Ladies and gentlemen, this concludes today's conference. You may disconnect your lines at this time, and we thank you for your participation.